Operator: Good day and welcome to USANA Health Sciences' Second Quarter Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Andrew Masuda, Director of Investor Relations. Please go ahead, sir.
Andrew Masuda: Thank you and good morning, everyone. We appreciate you joining us to review our second quarter results. Today's conference call is being broadcast live via webcast and can be accessed directly from our website at ir.usana.com. Shortly following the call, a replay will be available on our website. As a reminder, during the course of this conference call, management will be making forward-looking statements regarding future events or the future financial performance of our company. Those statements involve risks and uncertainties that could cause actual results to differ perhaps materially from the results projected in such forward-looking statements. Examples of these statements include those regarding our strategies and outlook for fiscal year 2022, as well as uncertainty related to the magnitude, scope, and duration of the impact of the COVID-19 pandemic to our business, operations, and financial results. We caution you that these statements should be considered in conjunction with disclosures, including specific Risk Factors and financial data contained in our most recent filings with the SEC. I'm joined by our CEO and Chairman of the Board, Kevin Guest; our President, Jim Brown; our Chief Financial Officer, Doug Hekking; as well as other executives. Yesterday, after the market closed, we announced our second quarter results and posted our management commentary document on the company's website. We'll now hear brief remarks from Kevin before opening the call for questions.
Kevin Guest: Thank you, Andrew, and good morning, everyone. We appreciate you joining us to review our second quarter results. [Technical Difficulty] prerelease and our final earnings release for the second quarter yesterday, our operating performance during the second quarter was negatively impacted by COVID-related lockdowns, restrictions and other disruptions in several key markets. These disruptions also added negative effect on the regional sales program we offered during the quarter. Despite the short-term disruptions to our business, we remain confident in our business strategy and our prospects for future customer and sales growth. Although, we continue to prioritize the alignment of spending with sales performance in the near-term, the health of our balance sheet and our generation of free cash flow will allow us to continue making the necessary investments to position USANA for future growth. During the quarter, we made progress on our strategy in several areas including the introduction and launch of enhancements to our associate onboarding program, which streamline the onboarding process to provide associates with additional tools to setup and operate their business. We believe this will help support and increase our associate base over the long-term. Additionally, our digital strategy remains a primary focus for our team moving forward. We look forward to celebrating our 30th anniversary at our upcoming Global Convention in Salt Lake City in a few weeks. This will be a hybrid event with an expected in-person attendance of approximately 4,000 associates and tens of thousands participating virtually. We also have selected events and modest promotional activities planned in conjunction with the celebration to help generate excitement surrounding this event. In closing, we remain confident in the strategies we are pursuing for the long-term health of our business and in our overall long-term growth potential in our markets globally. With that, I'll now ask the operator to please open the line for questions.
Operator: Thank you. [Operator Instructions]. And we'll go first to Stephanie Wissink with Jefferies.
Chris Neamonitis: Hey everyone, it's Chris Neamonitis on for Steph. Thanks for taking the questions. The first one I have. You maybe help us understand a little bit better the diverging performance between preferred customers, which really seem to be kind of holding up versus associates' counts, which are trending down. So is there something, maybe structural we should be thinking about, or what kind of colors can you offer to, kind of, reconcile those two pieces? And then can you remind us again, is there conversion potential from preferred customers to associates? And if so, what does that typically look like?
Doug Hekking: Yes. Chris, this is Doug, and I'll let Kevin and Jim jump on and kind of give you kind of big picture narrative if I miss something here. But we over the last several years have really leaned into making preferred customers a priority. We've had several structural things that we've done. We've been testing programs in the Americas and Europe region, in particular. Tested a program that really was scheduled to end in March, we bumped it out a couple of months, and that's why you see a little bit of sequential change in Americas and Europe on PC from Q1 to Q2. But it really is from, from the strategies and what we've been focusing on and how we've been really approaching the business as far as, you know, building that preferred customer base in the mix of customers. The second part is, is there an opportunity for transition or movement from becoming an associate, if you're preferred customer? Yes, that, that opportunity is available. It doesn't happen as much as you think. But I think, some of our best associates are those that are really passionate and believe, heavy believe, in the product and lot of that starts with the consumption of the product. So I think that does happen. It just it's not a real high clip right now.
Chris Neamonitis: Got it.
Kevin Guest: I just wanted to answer your -- oh, I'm sorry.
Chris Neamonitis: Go ahead.
Kevin Guest: I just wanted to answer your question. You asked about the possibility of preferred customers becoming associates. Yes, they can. They can elect if they want to become an associate and sell the products and we actually hope that that would be a great transition because they will have had an experience with the products and will be able to sell them more effectively. I don't have off the top of my head that conversion rate from our preferred customers to associates. Doug. I don't know if you?
Doug Hekking: It's been low-to-date, but I think the ones that have made the move, I think really provides, prove to be really successful associates because of their understanding and belief in the product.
Kevin Guest: And I just want to add a little color on this. We, being 30-years-old, we have really done some data mining and some research and looked at, we really have a -- an excellent or had historically an excellent distributor experience, meaning someone who's selling and building a business and earning income as they share our product experience. Our focus has been recently over the last probably 18 months, at least a customer experience and how do we interact and deal with customers because we feel that one of our main competitors is the experience they expect to receive when they come and interact with our company and if that experience isn't seamless, they'll go somewhere else. That's why our digital strategy is so critical to the growth of the company, because it has to be a seamless experience for someone who simply just wants to take our products. So you can see that the increase in our customer counts being part of the success of that overall strategy, as we grow the business. And at the end of the day, we really care about people utilizing our products every day. And so, it's just an expansion of our overall strategy.
Chris Neamonitis: Got it. That's super helpful color. And maybe just as a follow-up to all that. Could you give us any color on the trends you're seeing, especially, kind of, in the context of your -- your -- the enhanced onboarding program? Any trends on new associates coming into the business?
Kevin Guest: Well, this is Kevin again. It's too early to tell at this point. We just barely are releasing the first versions of our onboarding program, but one of the key objectives to the onboarding is retention and customer connection. And one -- another key focus of our overall high-level strategy is connecting, especially in the -- these COVID days, we've not had the opportunity to connect as we normally would on a personal basis. And so this whole customer connection and interaction and touch points, as they go throughout their journey, is becoming more and more critical. And our onboarding process is just a heightened level of connection and interaction as our associates move through their journey of building a business.
Chris Neamonitis: Got it. And then you touched on COVID briefly there, which is kind of segways into my next question. But as we look across your markets, obviously you have these COVID-related disruptions softening the top-line, but I'm surprised that performance in Greater China actually improved sequentially, especially given kind of all the headlines related to restriction. So why does a market like China perform better on a sequential basis than others which I would assume would be less restrictive, but perhaps I'm wrong?
Doug Hekking: Well, I think you're exactly right. It is -- it's more restrictive in China than what we see in the other markets and really the catalyst for why you saw a sequential improvements is, is for the last three years we've run this, kind of, sales program that we've been testing and evaluating and tweaking and adjusting and China moved up their plans from running that later in the year to the second quarter. And that's why you saw an improvement from Q1 to Q2. And as we noted in our comments and our release, I think, we're generally disappointed across most of our markets with how that program performed. But I think we're committed to going back and making structural changes that create sustainable growth traction and not trying to go back and just get something that pops short-term and do this other stuff. And so I think the change is that, some of those changes that we've made are there, but I think the environmental factors with COVID, the drag on the economy, consumers having to go back and select out, and just making some tough choices having to pursue things, it creates a challenging environment. And China still continues to, go in and out of lockdowns, maybe on a lesser scale than what they've had in the not-too-distant past. But I think some of the investments that Brent Neidig, who oversees our market there and his team have made, I think are really going to pay dividends going forward, really related to what Kevin said on the digital strategy.
Kevin Guest: Yes. And just a little more color, a lot just from speaking for myself I tend to look through the lens of the United States as I think about how we're moving forward, but really, we are a global business, and if you take markets like the Philippines where they're completely shut down, but most all their business is dependent upon "will-call" and working in an office environment versus here in the United States we get things shipped. When COVID restrictions are in place that has a huge negative impact, just on people receiving products, doing business and interacting. And we see that in Malaysia and other markets in Asia where we're really strong. And so the person -- person side of things has a bigger impact for us outside of the United States just because of how they inherently do business.
Chris Neamonitis: Got it. That's great. And then last question before I hand it off. Maybe just on the purchases that are being made. Are you noticing anything different in terms of average basket size or should we be thinking about the -- maybe the softer top-line number primarily driven by the overall number of transactions, so maybe any color there?
Kevin Guest: Yes. I think long-term, I think the simple answer we're not seeing anything that's defended enough. I mean we're a little bit off on the average spin this quarter. I think some of that can be tethered to the promotional activity and what happens during those cycles. But as a whole, we've seen that trend pretty close within a relevant range and really not be that meaningfully different.
Operator: We'll go next to Doug Lane with Lane Research.
Doug Lane: Yes. Hi, good morning, everybody. Staying on, we're looking at the second half here. If I understand what went on in the second quarter, the bump in China sequentially particularly with the preferred customers was a little bit more promotionally related. So we should probably see that settle back to where it was in the first quarter and fourth quarter looking to the second half of the year.
Doug Hekking: Yes. And we would expect that just from the nature of how we count the active customers. We'd expect to see a little bit softening the customer numbers, but I think we have a lot of real important things going on, on that market. But I think just relative to how that calculation takes place. Yes, that's accurate, Doug.
Kevin Guest: And Doug, this is Kevin. I just want to remind everyone or especially as we're coming out of unprecedented times that we're really playing the long-term game here. And we've done some of these promotional activities to try and maintain and keep it an excitement level in a marketplace where we normally can't traditionally do our business as we would. But we feel like in the second half of the year, and as we move more into a normal pace of business that continues to pursue those promotional activities isn't necessarily in the best interest of the long-term health of the company as we move forward. And so we're choosing this route for the long-term betterment of the company from a strategic perspective as we've stated in our documents going forward. And so again, we're kind of switching up our mode of business activity on purpose because of the changing environment as we look at the long-term health of the company.
Doug Lane: Okay. I mean that makes sense. And yes, I mean, I get what you're doing there. And again, sticking with thinking through the impact of the macro environment today, and particularly with COVID, I maybe like others expected a lot worse results in China and maybe not as bad results in Southeast Asia and Pacific, which continues to be quite weak. So it -- am I reading this right? That the actually the impact from COVID is more disruptive to your Southeast Asia and Pacific business than it really was to China at the end of the day, meaning that if we ever do come out of this pandemic, that the bigger bounce will be in Southeast Asia-Pacific versus China.
Doug Hekking: I would say that China has been a market that's been impacted just because of the strict lockdowns. I think China has the -- a better ability infrastructure lead to go back and handle some of the stuff going on. The Philippines, which has been an incredible market for us has had a tough time with density of population, availability of services and stuff, and to what Kevin said, they were so accustomed doing business in an in-person environment. It's a really dramatic change for that market. And if we do get freed up there, I think that is added to that market as well. Kevin?
Kevin Guest: Yes. And just one thing, and Brent, you might want to talk to this. It's a credit to our team in China being creative in getting our products in a very, very lockdown difficult environment and finding different ways to get our products out to our people, which we didn't even have that opportunity in some markets, but in China our on the ground team really, really performed. I don't know, Brent, if you want to just give some color to that situation to help Doug kind of understand the dynamics a little bit.
Brent Neidig: Sure. Yes. In China, I think the Doug mentioned already the infrastructure was slightly different than what we see in the Philippines or Southeast Asia that, there's been a higher preference of people being willing to switch to a virtual environment. And just logistically, it's easier for us to distribute our products throughout the country than some of those other markets. But the lockdown that we experienced throughout China in the second quarter and first quarter specifically really disrupted that ability to deliver that product. And so we had to get very creative through our distribution network to switch 3PLs, to switch shippers, final mile distributors in order to get that product to our customers. And our ability to adjust quickly on the fly, the way that we did allowed us to continue to recognize revenue throughout the quarter.
Doug Hekking: Yes. I would also add on that, Brent, sorry, I'd also add on that. Brent made some investments in the market in studios to allow us to manage content and reach that audience in kind of a higher velocity way and more responsive even before COVID kind of came into play for everybody around the world. China had really high percentage of their sales that were already happening in a non in-person environment. And so they were set up and people were accustomed to doing business like that. But yes, there's a few key markets in Southeast Asia that, yes, we've now had a couple tough quarters here, but I think we see the individuals there and we have confidence. And I think from a build standpoint, going forward back to your original question, Doug. Yes. I think there's an opportunity to go back and see that if we can go back and get a little bit more of a stable environment and start tracked in a good way. And we're really confident with the staff there.
Kevin Guest: And also Doug, Walter, our Chief Operations Officer, who's here today was just in the Philippines and might be able to give you a kind of some color on what you experienced there, Walter just being on the ground recently in the Philippines and what you're seeing there, what you're seeing for the future.
Walter Noot: Well, that in the Philippines, they've had because of really lockdowns and because everybody's still wearing masks and you still got to have -- basically you have to have vaccination passports get into any building. And so people haven't been -- having a lot of in-person meetings. In fact, when I was there, they were some of the first in-person meetings that they were starting to have with our distributors, with teams out there. And the other part was the pickup center we have the -- we have several pickup centers and they've been empty. We've -- our volume has gone down over the last during the COVID period. It -- the volume in the pickup centers went down to almost nothing where nobody was showing up and that's where they spend a lot of their time interacting and meeting with each other. And so that's starting to open back up again, but it's a cultural change that people have to go through. They have to feel comfortable getting out. They have to feel comfortable meeting in-person again. And those things are gradual changes that they're going through right now. So I think this just like you said, Doug, I think you mentioned that there should be some growth there and I believe that that's going to happen in those markets. You're going to see more interaction, personal interaction and in the near future, I think we're going to start seeing some better activity there.
Operator: [Operator Instructions]. We’ll go next to Linda Bolton Weiser with D.A. Davidson.
Linda Bolton Weiser: Hi, so the U.S. market was a little bit weaker than I guess I had modeled. Can you give us a little bit of color about what's going on in the U.S.?
Doug Hekking: I think some of it for the quarter a little bit of timing on the comparisons, we kind of transitioned out from one campaign that we were running the first part that we see some real potential from a structural, some structural opportunity there going forward. I think sequentially that was kind of the biggest narrative that we saw with the U.S. The U.S. did not run this sales program in the second quarter. And so they have a really tough comp year-over-year with that. And we just generally saw more success last year in the program that we ran.
Linda Bolton Weiser: You plan a, some promotional program in the second half?
Doug Hekking: On a local market basis, absolutely we'll have things that engage our consumers and products and experiences and the other stuff, but it's just not going to be the magnitude of what we've done historically. And I think that was Kevin's narrative really here focusing on the long-term and making sure that we're doing something that's additive on a sustainable basis. And we've learned quite a bit through doing some of these sales programs and we'll adjust accordingly, but you'll see local market activity for sure. You will probably not see something of magnitude for the company as a whole that's meaningful from a big thing. We do have our 30th year condition coming off and there'll be some activities and events and promotional campaigns surrounding that to build the excitement. But that, that's really kind of the biggest stuff we have in the back half the year from a promotional standpoint that reaches across to all markets.
Linda Bolton Weiser: And can you remind me like in like the U.S. like what percentage of your sales or kind of done like on a subscription basis where the customer is accepting product kind of every month? What percentage?
Doug Hekking: Yes. Mid to high-50%, off top of my head. I don't have the number in front of me, but I think we're probably high-50% of our sales are happening on subscription business.
Linda Bolton Weiser: Okay. And then how recession resistant do you think your business will be, if we do see this consumer weakening going on?
Doug Hekking: Yes. I think we'll see. I mean, I think this is a new environment for all of us. The story has been historically when you see a little bit of pressure on the economy; maybe you see a little bit more activity in our channel. I think this is just a totally different environment than what we've experienced and we're actively reaching out. We're actively soliciting the opinions and feedback of end customers. And we're taking these things. We're reacting in a pretty short period of time. And so, time will tell there. I think people are more health aware and more health conscious than they've ever been. I think we have products that can go back and help them go back and take a little bit better charge of kind of their wellbeing going forward. So that's -- I think that's a big opportunity that we have and we have to continue to go back and work to go back and communicate and really be front of mind to the consumers out there.
Linda Bolton Weiser: Okay. And then I noticed it was good that your inventory did come down. It was both down year-over-year and down sequentially, which is good to see. Do you expect that decrease to continue in the second half like, well, do you think third quarter inventory will be down again sequentially?
Doug Hekking: I think we'll see a little bit of and Walter, you can jump in here, but I would expect to see it go down a little bit, not to the same change you saw from Q1 to Q2. I think we made a very intentional choice to make sure that we had inventory to go back and market and sell to our customers. And as we've seen demand trying to do this other stuff, same thing with our expense management, that that team has been actively trying to go back and align those inventory levels with the performance that we have now and things that we have on the horizon.
Walter Noot: Yes. That was very intentional. What we did middle last year, we started building up inventory intentionally because we saw shipping and we saw COVID-related issues coming up worldwide. So we built up more finished goods out in our markets. We doubled the amount of raw materials we had because we were concerned about supply chain. It actually saved us during that whole period. And then we've slowly been building -- bringing back that back down. We're going to keep bringing that down throughout the year a little bit, unless we start seeing more disruptions in supply chain, and then we're going to build it back up again.
Doug Hekking: Yes. I would say --
Walter Noot: It's worth having inventory.
Doug Hekking: Yes. The other aspect that we do from an operational standpoint is we have a real core competency making our own products. And I think that's been a huge benefit in this environment allows us to respond a little bit quicker with taking out one more player in that supply chain process. And so we've seen that as a definitive advantage we've gone through this as well. Our biggest challenge is still shipping. It's still transport across the ocean. So if we make it in Salt Lake and it ships to Southeast Asia or somewhere else, that's still a challenge for us. And that's the reason inventories are still generally a little bit high. That's been very intentional.
Linda Bolton Weiser: Okay. And I was just curious, do you have an operating cash flow number for the first half or the quarter?
Doug Hekking: Yes, we did. Let me pull it up. We did about $15 million in operating cash flow in Q2. And I can pull you up year-to-date. I think what we're generally expecting for the year is something that, that $100 million to $105 million range.
Linda Bolton Weiser: Okay. Thank you. And then it did look to me like your SG&A expense was like a little lower than we had expected. And you kind of alluded to taking some actions to adjust the business to the conditions. Can you just talk about what cost reduction actions you're taking?
Doug Hekking: Yes. I think in the media short-term, most of what we've seen are things that vary from a variable perspective or things that are more performance-based that relate to our operational execution and just the environment how we're generating operating margin. We still have work to do and it usually takes several quarters. I think we're just being very intentional in prioritizing the business really to what Kevin said, what's -- what do we think is best for the long-term benefiting growth of the customers and individuals and families consuming our products. And that's going to get prioritized, but we do feel need to go back and be more agile and have resources kind of put to those things that are going to be a catalyst to really kind of executing on that vision and mission of the company.
Operator: And at this time, there are no further questions.
Kevin Guest: Thank you for your questions and for your participation on today's conference call. If you have any remaining questions, please feel free to contact Investor Relations at (801) 954-7210
Operator: This does conclude today's conference. We thank you for your participation.